Operator: Thank you for standing by, and welcome to the iQIYI Fourth Quarter and Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Ms. Chang You, IR Director of the company. Please go ahead.
Chang Yu: Thank you, operator. Hello, everyone, and thank you for joining iQIYI's Fourth Quarter and Fiscal Year 2025 Earnings Conference Call. The company's results were released earlier today and are available on the company's Investor Relations website at ir.iqiyi.com. On the call today are Mr. Yu Gong, our Founder, Director and CEO; Ms. Ying Zeng, our Interim CFO; Mr. Xiaohui Wang, our Chief Content Officer; Mr. Youqiao Duan, Senior Vice President of our Membership Business; Mr. Xianghua Yang, Senior Vice President of International and Online Game Business; and Mr. Gang Wu, Senior Vice President of Brand Advertising Business. Mr. Wong will give a brief overview of the company's business operations and highlights, followed by Ying, who will go through the financials. After the prepared remarks, the management team will participate in the Q&A session. Before we proceed, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in our public filings with the SEC. iQIYI does not undertake any obligation to update any forward-looking statements, except as required under applicable law. I will now pass on to Mr. Gong. Please go ahead.
Tim Yu: Hello, everyone, and thank you for joining us today. In 2025, we focused on strengthening our core business to renew growth while achieving advancements in emerging businesses. These efforts drove a solid year-end performance with total revenue in Q4 returned to growth both annually and sequentially. Notably, our long-form dramas secured #1 in viewership market share on Enlightent data annual rankings with 5 titles exceeding 10,000 for the iQIYI popularity score. More importantly, we made remarkable breakthroughs in IP franchise development, moving beyond making individual hit titles to building evergreen IPs that drive growth across diverse formats. Strange Tales of Tang Dynasty stand as a stellar example as a flagship IP with 4 consecutive blockbuster seasons. It's influence has expanded from long to short and micro dramas as well as off-line experience. Our advertising businesses continue to demonstrate strong growth potential. Our overseas business has evolved into a sustainable and scalable second growth engine powered by accelerated organic momentum. In 2025, membership services revenue increased by over 30% year-over-year with growth accelerating to 40% in the second half of the year. The subscriber base reached an all-time high. At the same time, our experience business has entered a critical stage of development. For IP-based consumer products, we have built a dedicated in-house team and upgraded from a listening-only approach to a dual-track model, combining self-operated mechanism merchandise with licensing. This strategic shift strengthened our control our IP operation and amplifies monetization efficiency. On the offline experience front, we launched our first iQIYI LAND in Yangzhou on February 8, 2026, receiving positive initial reception. Two additional parks scheduled to open later this year. 2026 marks a key step towards scaled development as we build the experience business into a new engine for long-term value creation. Now let's dive into the details of our business performance in Q4. Starting with content, the cornerstone of our business. For long-form dramas, we secured the #1 viewership market share for Enlightent data driven by a robust slate of premium content and breakthroughs in serialized IPs that boost engagement and commercial results. Strange Tales of Tang Dynasty 3: To Changan marked our first title with 2 seasons exceeding a popularity score of 10,000. Among 2025 new releases, it ranked #1 in ad revenue and #2 in membership revenue. Following this momentum, the crime drama, The Punishment 2 further became the first title of 2026 to surpass 10,000 for the popularity score. It is also our second franchise with 2 seasons achieving this milestone. Shifting to movies, we maintained a diverse lineup with broad demographic appeal. For iQIYI originals, the summer's theatrical hit, The Shadow's Edge Bufeng Zhui Ying extended its offline success to the online demand. It not only topped all Q4 film releases by peak iQIYI Popularity Index score, but also became the highest rated domestic action crime film of the past decade on Douban. Additionally, our original online film, The Sixth Robber Yun Chao Da Jie An set a new all-time high for the popularity score within its category. For movies broadcasted on our platform, we retained the #1 viewership market share for 16 consecutive quarters. In Q4, we rolled out diversified titles, including The Warm Seat, That Two Lives [Foreign Language], The Animated Feature, Nobody, Lang Lang Shan Xiao Yao Guai; The Fantasy comedy, The Adventure [Foreign Language] and the female-oriented feature Flew Away [Foreign Language]. Furthermore, our innovative revenue sharing model designed to optimize returns for films with limited theatrical box office performance gained further traction. The Return of the Lame Hero, Bi Zhengming de Zhengming generated RMB 36 million in revenue -- in shared revenue, ranking first among all titles under this model. Turning to variety show, our dual focus on long-running franchise and fresh innovative IPs show market-leading performance in 2025. According to Enlightent data, 3 of our multi-season titles ranked in the top 10 most watched multi-season variety shows and 2 new releases ranked in the top 3 most watched new shows. Our originals continue to set benchmark. The Rap of China ranked its ninth season this year, cementing its position as China's longest running online variety IP. Additionally, Hi! Young Farmers 3, a spin of the developed beloved Become a Farmer franchise, featuring the boy group, reached an all-time high in its popularity score this season. Among brand-new originals, Wander Together Yuzhou shanshuo qing zhuyi exceeded 8,300 for popularity score. We also expanded IP values through merchandise partnerships with brands for Hi! Young Farmers 3, The Blooming Journey 2, Yilu Fanhua and Wander Together unlocking new revenue potential. Turning to micro dramas. We have expanded free content to over 70% of our 20,000 title library to broaden engagement. Our original portfolio is scaling to over 150 titles today, fueling record high membership and distribution revenues in Q4 from these offerings. Spin-off from Strange Tales of Tang Dynasty, The Chinese Detective [Foreign Language] and The Light On library [Foreign Language] both hit new highs for popularity school. Notably, over 70% of their debut viewers also watched the long-form serials, helping to extend the IP's life span. These releases not only boosted membership views, but also attracted top-tier brand partnership, moving well beyond the conventional performance ad model. Building on the momentum of the premium micro dramas, we are working into micro animations and business model centered on free content with a pipeline of over 10,000 titles in place, micro animation viewership and the time spent are growing rapidly. Beyond content, we further amplified our IP value from flagship marketing events. In December 2025, we hosted the annual iQIYI Scream Night, alongside a 2 days iQIYI Scream Carnival in Macau to honor the year's standout productions and talents. The event drew over 200 million on-site attendees and live stream viewers and brought together around 300 celebrities and industry partners. Next, let's dive into our 2026 content strategy and the exciting Q1 lineup. Starting with dramas, our Q1 slate includes between Love Between Lines, Da Xi, Swords into Plowshares, Tai Ping Nian, Born to Be Alive, Sheng Ming Shu, How Dare You, Cheng He Ti Tong, The Devil Between Us, Chu E, Our Dazzling Days, Sui Yue You Qing Shi, Pursuit of Jade, Zhu Yu and Love After You Yang, Zhong Qi Chu Nai For movies, we will meet audience demand with a diverse slate spanning top theatrical releases off and online movies. Q1 lineup features original online movies such as Northeastern Brother Season 3, Dong Bei Yong Ge and The Sing City [Foreign Language] alongside licensed titles such as [Foreign Language]. For variety shows, we are enhancing the long-term operation of multi-season IPs while exploring fresh and innovative new IPs. Key Q1 releases include Five Hearts Season 6, Wu Xi; Hit Song Season 2, You Ge; as well as new IPs such as Wonders Gather and Tonight Comedy Show, Jin Ye Xi You Xiu. For micro dramas, we will focus on creating original content with quality and innovation while enhancing operations, commercialization and deepening integration of AI. Q1 key titles include Return to a Better Tomorrow, Xin Yingxiong Bense; The Address of a False Noble Woman [Foreign Language] and The Amber hour [Foreign Language]. For animations, we will meaningfully expand our lineup of original Chinese animation compared with previous years. In Q1, our slate features original long-running series such as The Great Ruler, Da Zhuzai and Against the Gods Nitian Xieshen as well as popular IP, including How Dare You Season 2 and Ways of Crisis [Foreign Language]. For children's content, we will secure top-tier SSIPs, scale and original production and expand our AI-driven portfolio. In Q1, key offerings include a brand-new original title, Detective Baboo [Foreign Language] alongside licensed show such as PAW Patrol Season 11 Wangwang dui li dagong and the latest season of Pleasant Goat and Big Big Wolf Xi Yangyang Yu Hui Tailang. Moving on to the membership services. Over the past few quarters, our membership services revenue has shown consistent year-over-year recovery driven by diverse premium offerings. In Q4, members enjoyed the popular titles such as Strange Tales of Tang Dynasty 3: To Changan; Silent Honor, Chen Mo De Rong Yao; Fated Hearts, Yixiao Suige; Legend of the Magnate, Da Sheng Yi Ren, and Sword and Beloved, Tian di Jian Xin. We will revitalized our membership business through a range of operational initiatives. For example, we boosted new subscriptions and upgrades to the S-Diamond plan by offering inclusive products such as free Express package, which provided early access to families at no extra cost. In 2025, Express package were available for over 40 dramas. Additionally, we are strengthening member retention by emphasizing annual memberships during holiday promotions, e-commerce festivals and bundled partnership offers. To further increase the value of memberships, we introduced additional exclusive benefits, including 5 VIP events in the first quarter, featuring participation in offline show recordings, advanced screenings and the exciting iQIYI Scream Night. In particular, iQIYI Scream Night event was highly praised for exclusive perks like red carpet viewing privilege and live feed featuring their favorite celebrities. Moving on to advertising business. In Q4, brand advertising revenue growth both annually and sequentially, ad revenues from variety shows and our dramas both delivered double-digit annual growth, while core ad verticals such as food and beverage, Internet services and e-commerce and telecom services all recorded double-digit annual growth. Beyond long-form videos, our micro dramas and micro variety shows are gaining considerable attention from brand advertisers. For micro dramas, we have successfully engaged several renowned brands in 2025 through tailored content bundled sales that integrates product placements with theater branding and a string of collaborations. Likewise, our micro variety shows have received a strong market recognition, fostering long-term partnerships with multiple clients and driving impressive revenue growth. For commercial ads, we regained sequential revenue growth in Q4, driven by a healthier and more balanced advertiser portfolio. Revenue from small and midsized advertisers grew both annually and sequentially. By vertical, Internet services, e-commerce and financial services led growth. Additionally, we have deployed a proprietary large AI model for scaled ad delivery, leveraging deep thematic understanding that has boosted commercial rates. Moving on to technology. We introduced Nado Pro, our proprietary AI agent platform designed to revolutionize professional content creation by integrating leading global large models with iQIYI deep expertise in professional content production. Nado Pro efficient -- effectively streamlines the production pipeline from script evaluation to final generation. Currently in its close beta phase, Nado Pro is empowering our internal teams and select partners in a wide variety of professional content such as feature films, dramas, animation. In addition, Taodou World, our pioneering AI agent-based NPC platform continues to redefine entertainment experience. Users can now engage with over 1,700 NPC agents from our popular titles Song, Dialogue, Fan Fiction and Virtual Social Interaction. The platform creates powerful synergies with key content, delivers immersive emotion, connection with fans and extends the long-term value of our IP. Strong user adoption is translating into commercial success and revenue from Total War raising sharply year-over-year in 2025. In addition to pushing the boundaries of AI applications, we are leading the industry with cutting-edge virtual production technology. Our in-house developed IQ Stage system has meaningfully enhanced the efficiency of vehicle scene shots for the theatrical hit Pegasus 3, featuring Shen Teng. This achievement delivered unparalleled results with zero frame drops and zero aliasing representing the highest standard for virtual production in car scenes in China. At iQIYI innovation is at the core of everything we do with a portfolio of over 12,000 patent applications. We are proud to rank #72 among the top 100 Chinese enterprises for valid invention patents. In 2025 alone, we filed nearly 1,000 new patent applications, most of them driving achievements in AI across content development, production, broadcasting and offline experiences. Moving on to the business performance in regions outside of Mainland China. In Q4, we continue to deliver robust growth with membership revenue increasing by 40% annually. Markets such as Brazil, Mexico and Indonesia showed exceptional performance with membership revenue surging by over 80% annually. Our strong performance is driven by the growing popularity of our C-dramas, which have shown substantial annual revenue growth. Notably, Speed and Love, Shuang Gui was a standout hit in 2025, emerging as the best-performing the C-drama during the peak viewing period and toping popularity chart in 14 markets on our international platform. It performed exceptionally well in key regions like Thailand, Malaysia and Singapore, where it leads its category on Google Trends. Its success extended further with the spin-off variety, which became one of the most popular Chinese variety shows on our overseas platform this year. We are also ramping up production of local original content with strong user reception. The original Oops! I'm in Jail stood out as the top Taiwanese drama on our platform in 2025. Moreover, our Thai original variety show Running Man Thailand launched in February 2026 has secured exceptional brand advertising partnerships. Apart from long-form content, micro dramas captivated increased engagement among overseas audiences in Q4. Membership revenue from micro drama hit a new high, driven by originals such as Spring in the Palace and Wild Scene and licensed hits from China like Midsummer's Vendela. Our efforts in creating local original micro dramas have also started to show results with 5 titles premiered in December 2025, featuring local content for South Korea, Thailand, the U.K. and Indonesia. Among these, the Korean micro drama, Darling, Is It All Coincidence and the Thai micro drama, Catch Me If You Love Me have outperformed gaining notable popularity across and beyond our platform. In addition to content in Q4, we held 4 major offline marketing events in Thailand, Indonesia, Malaysia and Singapore featuring Chinese celebrities. This event amplifies the influence of our content and the commercial value of our platform, forged stronger partnerships and propelled the global reach of Chinese content. Moving on to Enterprise business -- moving on to experience business. While we are focusing on 2 core areas, IP-based consumer products and iQIYI LAND by leveraging our extensive IP assets, we aim to build a new engine for sustainable long-term growth. For IP-based consumer products, our self-operated merchandise demonstrated solid progress, highlighted by top-selling collectible cards from premium dramas like The Journey of Legend. For IP licensing, Strange Tales of Tang Dynasty 3: To Changan secured strong partnerships across food and beverage, beauty and outdoors. And Sword and Beloved set new sales records during its broadcast period. Looking ahead to 2026, we plan to grow our IP licensing business and expand our self-operated merchandise beyond collective cards to more categories. For iQIYI LAND, we adopt a light asset model by combining AI and XR technology with IPs. We create immersive experiences that are more efficient, flexible and require less space and investment than traditional theme park. Our first iQIYI LAND was successfully opened in Ganzhou on February 8. Our Kaifeng and Beijing locations are set to open later this year each incorporating unique local elements to deliver tailored experiences. Revenue will primarily come from ticket sales and on-site spending. Looking ahead, we aim to position iQIYI Land as a key sales channel for IP-based consumer products and a vital platform for maximizing the long-term value of our IP portfolio. In summary, in 2026, we will focus on 3 key strategic goals. First, we will strengthen our domestic core by enhancing the quality of original content, strengthening membership and advertising businesses. Second, we will aim to sustain strong growth in our overseas and experience business, building more robust engines for long-term expansion. Third, over the past several months, rapid advancements in AI large models worldwide has revealed a clear insight. The content production industry will be revolutionized within the next 1, 2, 3 years. This transformation will significantly cut production costs, lower barriers to professional content creation and boost both the quality and the quality content. This exciting changes will greatly benefit media platform, especially iQIYI. To seize this opportunity, we are dedicated to building a dynamic AIGC ecosystem and transitioning our platform from a centralized to a decentralized model. We look forward to sharing detailed initiatives at our upcoming iQIYI World Conference on April. Now let me hand it over to Ying Zeng for the financials.
Ying Zeng: Thanks, Mr. Gong, and hello, everyone. Let me walk you through the key numbers for Q4. Total revenues for Q4 were RMB 6.8 billion, up 2% sequentially. Membership services revenue reached RMB 4.1 billion, down 3% sequentially due to seasonality. Online advertising revenue was RMB 1.4 billion, up 9% sequentially, primarily driven by the streaming content and e-commerce Double 11 campaign. Content distribution revenue reached RMB 787.7 million, up 22% sequentially, primarily driven by the increase in cash transactions. Other revenues were RMB 547.9 million, down 6% sequentially. Moving on to cost and expenses. Content cost was RMB 3.8 billion, down 5% sequentially as we adopt a more curated content acquisition strategy centered on quality. Total operating expenses were RMB 1.4 billion, up 2% sequentially. Turning to profit and cash balance. Non-GAAP operating income was RMB 143.5 million. Non-GAAP operating income margin was 2%. As of the end of Q4, we had cash, cash equivalents, restricted cash, short-term investments and long-term restricted cash included in prepayments and other assets at a total of RMB 4.7 billion. At quarter end, the company had a loan of USD 636.6 million to PAG recorded under the line item of prepayments and other assets. For detailed financial data, please refer to our press release on our IR website. Now I will open the floor for Q&A.
Operator: Your first question comes from Xueqing Zhang with CICC.
Xueqing Zhang: [Foreign Language] With recent upgrades in AI video generation models like Seedance, which are approaching production level quality. Could management share your view on how these advancements may impact iQIYI's business, particularly in content production and cost structure. What's your plan on leveraging AI video generation models?
Tim Yu: [Foreign Language]
Chang Yu: Our CEO, Mr. Gong is taking this question. Video generation models will substantially reduce the cost of producing long-form videos, shorter production time and lower the barrier to creation. This potentially will attract more new creators to this business and ultimately lead to more creations for the long-form video production. And this is very much beneficial to long-form video platforms like iQIYI, which means this will lead to increase in both the quantity and quality of long-form video content.
Tim Yu: [Foreign Language]
Chang Yu: Let me just discuss the impact of AI generation content for each content genres. For example, the micro animation is actually an AI-native content created entirely by AI. And for children's animation and also micro dramas, it has been demonstrated that large models can produce this content and reducing the production cost to 1/10 or less compared to traditional methods. For online films, animation and documentary, et cetera, these are rapidly permitted by AI-led production approaches as well. Among all these long-form video content, the most difficult ones to produce are the live-action content, for example, the theatrical films, drama series and variety shows. And in fact, these content have in part adopted AI in their production process and which the results have proven that these have significantly reduced the content cost -- content production cost. And based on our projections and estimations that we think the AI-led commercial film probably will emerge within the next 2 to 3 years.
Tim Yu: [Foreign Language]
Chang Yu: For iQIYI, we are actually placing our focuses on 2 areas to embrace these AI initiatives. On one hand, we have developed a Nado Pro an industry-specific AI agent for video content production. And on the other hand, we are working to build a new AIGC content ecosystem through various operation methods. Hopefully, that we can attract more creative talent under this new AI era.
Operator: Your next question comes from Maggie Ye with CLSA.
Yifan Ye: [Foreign Language] Can management walk us through company's content strategy for 2026 in more details? For example, how are we thinking about the key priorities across different genres, including drama, variety shows, film and micro drama, et cetera? And how are you thinking about the mix of self-produced content versus licensed one?
Chang Yu: Thank you, Maggie. We will invite our Chief Content Officer, Mr. Xiaohui, to take this question.
Xiaohui Wang: [Foreign Language]
Chang Yu: Given the current volume of in production dramas, we will slightly reduce the number of dramas to be produced in 2026 and place greater emphasis on top-tier titles in terms of their quality.
Xiaohui Wang: [Foreign Language]
Chang Yu: In terms of the realistic and suspense and crime genres and these content categories have been iQIYI's strength in fact. And in these areas, we'll continue to maintain our innovation to create new content and more creative content and then maintain our advantage in these areas.
Xiaohui Wang: [Foreign Language]
Chang Yu: Starting in 2025, we have increased the supply of female-oriented content. For example, starting from the end of 2025, we started to roll out a new variety show called Winter Together. This is targeting for the new female users and also that the beginning of 2026, we also launched a female-oriented -- a young female-oriented drama called How Dare You.
Xiaohui Wang: [Foreign Language]
Chang Yu: For young male users, we have released multiple original animations this year, including the long-running series The Great Ruler, How Dare You Season 2 and a Way of choices.
Xiaohui Wang: [Foreign Language]
Chang Yu: With the support of new regulatory policies, we will step up exploration of innovative content, for example, the short-form drama series.
Xiaohui Wang: [Foreign Language]
Chang Yu: We recently introduced a unified revenue sharing policy across 8 major content categories, including dramas and films. And under this new framework, production partners return actually will be more directly linked to each title's revenue contribution and allowing outstanding work to earn higher returns.
Xiaohui Wang: [Foreign Language]
Chang Yu: Apart from the content category, for example, like theatrical films and drama series, like Mr. Gong mentioned earlier, we are actually gradually adopting and actually very proactively adopting AI-led production for categories such as micro animation, animation and micro dramas, while we're applying AI across other content categories to cut cost and also accelerate time line.
Operator: Your next question comes from Lincoln Kong with Goldman Sachs.
Lincoln Kong: [Foreign Language] My question is about the overseas business. How is our plan and strategy for 2026?
Chang Yu: Thank you, Lincoln. We'll invite our Senior Vice President of International Business, Mr. Xianghua Yang to take this question. Please go ahead.
Xianghua Yang: [Foreign Language]
Chang Yu: In 2025, membership revenue grew by over 30%, with annual growth rate actually accelerating to 40% in the second half of the year. 2025 marked our highest growth rate year since the overseas business entered a stable operating phase.
Xianghua Yang: [Foreign Language]
Chang Yu: For 2026, our strategy is to sustain high revenue growth rate or even accelerate our growth rate.
Xianghua Yang: [Foreign Language]
Chang Yu: In terms of the content strategy, our market tailored content mixes actually have proven effective and continue to attract users. For C-dramas, they continue to expand their influence overseas. And the C-dramas will remain at the core of our overseas content portfolio, especially genres with strong cross-over appeal such as ancient costume, romance and contemporary romance.
Xianghua Yang: [Foreign Language]
Chang Yu: I am sorry, one more thing. Yes, go ahead.
Xianghua Yang: [Foreign Language]
Chang Yu: For content, we actually ramp up original production and local content licensing in Thailand, Malaysia and Indonesia. And in terms of operations, AI-powered translation and dubbing actually have significantly improved efficiency, reduced cost and accelerated the content release schedule. And going forward, we will fully leverage social media channels and use AI to generate promotional efforts, enabling low-cost, high-efficiency content distribution and user reach. Meanwhile, we will continue online and offline advertising to further amplifying the influence of C-drama. And last but not least, we will continue to promote content and strengthen our brand presence in international markets through initiatives such as celebrity sign-ups and also offline events.
Operator: Your next question comes from Rebecca Xu with Morgan Stanley.
Rebecca Xu: [Foreign Language] My question is about iQIYI LAND. Could management share the operating performance of iQIYI LAND, Yangzhou since its opening. Also, can you please share the 2026 plan for this business?
Chang Yu: Thank you, Rebecca. I will invite our CEO, Mr. Gong to take this question.
Tim Yu: [Foreign Language]
Chang Yu: Our very first iQIYI LAND actually opened in Yangzhou on February 8 and offers 7 core immersive experiences, including stage performances, multisensory theaters, interactive light and shadow spaces.
Tim Yu: [Foreign Language]
Chang Yu: The first iQIYI LAND opened about 20 days since its opening and during which also we experienced the Chinese New Year holidays. And actually, the performance and the feedback actually are meeting expectations, which can be reflected in the ratings on major OTA platforms. And the average points are 4.8 out of 5. And actually recently, the latest rating exceeded -- reached 4.9 for certain platforms.
Tim Yu: [Foreign Language]
Chang Yu: From the opening until now, the visitor numbers have continued to grow. And based on the actual operations, we observed that this experience really offered fun for all ages. We see participants ranging from children as young as 4 to 5 years old to seniors in their 60s and 70s.
Tim Yu: [Foreign Language]
Chang Yu: We are looking at the potential for a 1 to 2x increase in peak single day revenue during the following peak period. For Yangzhou location actually has its special areas and for the spring season, especially March and April is a peak travel season for Yangzhou. And also upcoming, we have the Labor holiday in May, the summer months of July and August and also the National Day holiday in October and all these key holidays and periods could potentially boost the revenue performance compared to the first 20 days.
Tim Yu: [Foreign Language]
Chang Yu: And the expected growth will come probably from 2 major areas from a more deeper operations to a more finer detailed operation for the entire iQIYI LAND and also the increased efficiency for iQIYI LAND as well.
Tim Yu: [Foreign Language]
Chang Yu: Currently, the average transaction value for consumer products at iQIYI LAND is about RMB 100. We think there's potential for growth in the future. We will try to load more products in the future and also to extend to other content categories as we do a more refined consumer product team operation.
Tim Yu: [Foreign Language]
Chang Yu: And for this year, we will focus more on the self-operated IP consumer products and the operations will be strengthened this year, and this will lead to a revenue potential growth of 100% this year.
Operator: Your next question comes from [indiscernible] with Guangfa.
Unknown Analyst: [Foreign Language]
Chang Yu: We'll invite our international business leader to take this question.
Xianghua Yang: [Foreign Language]
Chang Yu: In terms of our content, our brand or our slogan is beloved Asian content. So we focus not only Chinese content, but also the Asian content as well. Of course, Chinese content, which we call people or C-drama is our foundation because all the content has been already produced for our domestic business. So we only have to incur some of the dubbing and also translation, which is the cost with AI is much more efficient and controllable. But in addition to C-drama and also Chinese content, we also have, for example, Japanese animation, also Korean dramas and also the local content, for example, for the Thai region, Malaysia and also Indonesia. So this is how we set apart from many of the Western players in overseas. And for example, the Netflix and other houses, they host a lot of the Western content, whereas for us, we are the home of the beloved Asian content.
Xianghua Yang: [Foreign Language]
Chang Yu: Also, I want to add real quickly in terms of another content channel called micro drama. We actually -- this is something we rolled out end of last year. And in terms of the content viewing time contribution, micro drama already ranked us #2 content categories of the overseas platform and has been growing quickly and also very recently for the Chinese New Year, we have experienced rapid growth as well and reached a new high. So this is something else also that set us apart from the Western players in overseas market.
Xianghua Yang: [Foreign Language]
Chang Yu: And in terms of your question regarding ARPU and also membership performance. For ARPU actually for each region, it's actually different. Overall speaking, we think we're at the midrange of the price tier. For each different region, we expect a different price point. For areas more developed similar to the Western spending powers, the ARPU is a bit higher from the China domestic region. And for regions for the developing regions, for example, like the Southeast Asia, the average ARPU is a bit lower than the China domestic region. But overall speaking, I would say that the overseas ARPU will be greater or more than the China domestic ARPU.
Xianghua Yang: [Foreign Language]
Chang Yu: And in terms of the membership retention, in overseas business, we adopt the premium model, which is the free plus paid content model. And in areas such as more developed regions, I will say that this is very much similar to their spending habit and viewing habit, the retention is actually a bit better than domestic areas. But in some of the areas such as the developing regions, the retention performance is a bit lower. But overall speaking, the overall membership retention is similar to domestic level.
Xianghua Yang: [Foreign Language]
Chang Yu: In terms of we're adding the performance for the financial aspect. Overall speaking, the free cash flow now is positive. But in terms of the P&L performance for operating income because there is some financial accounting treatment that we still have to sort out. Now we haven't disclosed the exact numbers, but we will share more insights as we have more clarity.
Operator: There are no further questions at this time. I'll now hand back to management for closing remarks.
Chang Yu: Thank you, everyone, for joining the call today. And if you have any further questions, please do not hesitate to contact us. Thank you.
Tim Yu: Thank you. Bye-bye.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.